Operator: Good morning and thank you for participating in the second quarter 2007 earnings conference call of Melco PBL Entertainment (Macau) Limited. At this time, all participants are in a listen-only mode. After the call, we will conduct a question-and-answer session. Today's conference is being recorded. I would now like to turn the call over to Simon Dewhurst, Executive Vice President and Chief Financial Officer of Melco PBL Entertainment.
Simon Dewhurst: Good morning. And thank you for joining us today for our second quarter earnings announcement. On the call with me are Lawrence Ho, Garry Saunders, and Greg Hawkins. We're also pleased to have Geoff Kleemann, CFO of PBL, one of our founding companies, on the call with us today. In response to the few enquiries we've received in the last few weeks, we're reporting a little later in the month than is idle, because we needed to coordinate with PBL's yearend reporting schedule, given that our results will be reflected in their financials. I believe PBL will report yearend results next week. We understand that our announcement has been uploaded, but the release has been delayed. As a consequence, I will read some key details from the release. I apologize for this technical problem. Please also note that today's discussion may contain forward-looking statements made under the Safe Harbor provision of Federal Securities laws. Please see today's press release under the section "Safe Harbor Statement" for a discussion of risks that may affect our results. And so I quote from the release. Total revenue, net of rebates paid on rolling chip play, for the second quarter of 2007 was US$45.1 million, up from $5.5 million in the second quarter of 2006. Results for this quarter include the operations of Crown Macau, which opened on May the 12th. The year-over-year revenue increase was driven, primarily, by the opening of Crown Macau. Total group operating costs and expenses were $121.7 million in the second quarter of 2007, up from $12.9 million for the second quarter of 2006. The increase was largely attributable to the opening of Crown Macau and the commencement of amortization of the Company's gaming sub-concession, increased amortization of land use rights for projects under development, and increased pre-opening, selling and marketing investment costs associated with the development of Crown Macau and City of Dreams. Pre-opening expenses for the second quarter of 2007 was US$21 million, which was associated principally with the opening of Crown Macau. Total non-operating income for the second quarter of 2007 was $5.9 million, including $4.2 million in interest income and $1.6 million in net foreign exchange gains. Capitalized interest during the second quarter was US$1.3 million. The Company reported a net loss of $69.2 million for the second quarter of 2007, compared to a net loss of $5.2 million for the second quarter of 2006. Net loss per share for the second quarter of 2007 was $0.06, compared to a net loss per share of $0.01 in the second quarter of 2006. Cash and cash equivalents as of June 30th, 2007 totaled US$275.1 million. Total outstanding debt at the end of the second quarter was $115.9 million in loans from the Company's two major shareholders. The Company had no external borrowings at the end of June 2007 other than the shareholder loans. Total debt to shareholders' equity ratio as of June 30th, 2007 was less than 6%. Capital expenditure for the second quarter 2007 was US$238 million, bringing capital expenditure to $396 million for the first half of 2007. Second quarter capital expenditure consisted of $82.9 million for Crown Macau and $145 million for City of Dreams. Total capital expenditure for City of Dreams in the first half of 2007 amounted to US$182.3 million. I'll now end quoting from the release. I'd like to make an immediate comment regarding a matter, which has been raised with us in the last couple of days, regarding the status of assets closed by financing plans for our full pipeline of projects, including the City of Dreams, and reaching up to 2010. We have the same strong group of leader range of banks working with us right now in Hong Kong, and we are currently in the process of finalizing documentation and syndication of the Asian tranche. The Asian bank loan market is quite separate from the U.S. debt market, and it is currently open for business. We are confident that this Asian tranche will be completed in the next two weeks. As the financing is in syndication at the moment, it is inappropriate for me to make any further detailed comments other than to note that we are comfortable with progress. I'd now like to turn the call over to Lawrence.
Lawrence Ho: Well, thank you for joining us today. I'm pleased to report that our performance at Crown Macau, since the end of the quarter, has improved significantly from the transitional results reported today for the second quarter. I'll let Garry Saunders provide the details later on. But since the beginning of August, when our junket partners first started to meaningfully direct their customers to Crown Macau, VIP gaming volumes have improved significantly from those generated in July. Our latest month-to-date average daily rolling chip turnover has increased 25% from July, which already enjoyed a 120% increase over our second quarter results. While there is still some work to be done, the tangible improvement in VIP performance reinforces our confidence that our strategic focus on the VIP segment at this property will be worn out. Our success in the VIP market is against the backdrop of the rapid expansion of the aggregate Macau VIP market, so far, this year. While the current growth rate in this segment will be difficult to maintain on a longer-term basis, our sense is that the VIP segment remains robust in Macau, and we'd expect our market share in this segment to continue to expand. We estimate that our market share in table games month-to-date in August, so far, is north of 7%. The hard work of our operating team at Crown Macau is already driving meaningful and encouraging improvements over our initial results. It is clear to me that the opportunity exists to build on the existing ramp-up in the VIP business. As a result, we plan to continue to focus on the VIP segment at Crown Macau, which is already the only purpose-built VIP casino in the market. The people who have been to Crown Macau would agree that Crown Macau is probably the best built casino property in all of Macau. We are currently pursuing various business opportunities with several of junket operators that could meaningfully increase our presence and market share in this segment. We hope to be able to make further announcement on these developments in the near future. The focus on the core VIP business will result in a deliberate rationalization of our mass-market capacity, which should result in a commensurate increase in marketing expenses. While the mass-market segment remains our greatest challenge at the property, we believe, a more focused premium mass market offering at Crown Macau can be competitive. Secondly, we are supplementing our already strong management team with additional local talent. Through our Mocha Clubs operations, we have developed a keen understanding of the Macau gaming market, and I have extracted the head of Mocha and expanded his role with the company. Ted Chan will report directly to me, and we'll work on various initiatives to strengthen the Crown Macau's local focus in both the mass market and in building up relationships with our junket partners to address the VIP market. Constance Hun (ph), formerly Chief Administrative Officer of Mocha Clubs, has been promoted to become the Chief Operating Officer of Mocha Clubs. Additionally, we have named Mr. Kong Yu Lin (ph) our Head of Casino Operations at Crown Macau. Mr. Kong has over 34 years of experience with STDM and was most recently the Head of Pharaoh's Palace Casino, one of the most productive gaming operations in the market. Mr. Lawrence Tieu (ph), currently Head of Marketing and Strategy at Mocha Clubs, will take on an expanded role as General Manager of Marketing and Communications at Crown Macau. Now, I'll let Garry provide some additional color on our operating trends at Crown Macau.
 Garry Saunders: Thank you, Lawrence. We firmly believe that the best prospect for Crown Macau centers around our ability to grow the VIP player volume, as confirmed by VIP player reaction to the property and our initial results in this area. For the second quarter, our average daily rolling chip volume was US$20 million. In July, it was $44 million, and in the month-to-date in August, it has grown to $55 million. While we are pleased with this rapid acceleration of volume in our core business, we view this as a base on which we have significant opportunity to grow. These results do not include the commencement last night of a new VIP operator within a previously unused premium space of property. We are confident in our plan for additional VIP room operators to commence operations throughout the remainder of this year. The gaming revenue market share at Crown has demonstrated a similar pattern of improvement. In May and June, Crown Macau's market share of total gaming revenue grew from 1.7% to 2.7%. In July, our market share increased to 4.9%. August trends indicate additional strength and improvement in our market share position. In addition, the Crown International marketing infrastructure began actively promoting the property during the last week of July, and we are just beginning to see this portion of our business to ramp up to higher levels. Previous to this, we had not completed all major construction and feedback gratification (ph). We're not in a proper position to bring in our most important established customers. Three weeks after fully opening, we have achieved a daily run rate for our VIP rolling chip volume that exceeds the original budget set for the property through the end of this year. As mentioned in the press release, we have implemented a number of initiatives aimed at improving our mass-market business, as we rationalize the scope of this business at Crown Macau. As planned, we'll continue to reduce the table and slot inventory now focused on the mass market. We believe these positioning will allow us to serve the premium level of the mass market and keep our focus on the customer that properly will -- that the property will best accommodate. Our premium level mass customer marketing activities will include an improved focus on the appropriate strategies for promotions, royalty programs and special player amenities, such as those offered by our recently launched Signature Club. That concludes my comments, and I’ll hand it back to Simon.
Simon Dewhurst: I’d like to make few brief remarks or clarifications before we open up for Q&A. There seems some confusion in various reports about our share base. So to clarify our existing float is approximately 69 million American Depositary Shares Before we get started with the Q&A, I’d like to remind everybody that our policy is not to give any forward guidance and we are going to continue that policy for the indefinite future as consistent with other US listed gaming companies. Regarding the previously announced special purpose vehicle created by our partners (ph), Melco and the PBL, that was incorporated to issue an exchangeable bond and use the proceeds of the offering to purchase share from that MPEL open market. I understand this transaction is timetabled to complete within two weeks from now. This exchangeable does not impact financial statements of MPEL and it does not involve the issue by MPEL with any additional shareholder capital. I understand now that I actually have crossed the line and it can be accessed if you go to our website www.melco-pbl.com. Operator, we’re now ready to attend the call for questions. Thank you.
Operator: (Operator Instructions) Your first question comes from the line of Larry Klatzkin with Jefferies.
Larry Klatzkin - Jefferies & Co.: Hi guys. I’m glad to see the trend -- the trend is your friend, I guess, in this area in gaming and you’re definitely having the right trend. Could you guys maybe give us like how your cash -- I know you had negative cash flow to the Crown for the period. Could you kind of give it us how maybe when monthly could I assume that’s going show a positive trend too?
Simon Dewhurst: Yes, Larry. We’ve got that -- we had on balance sheet US$275 million at the end of June and you’re right those negative cash flow through the backend of the second quarter as the property geared up. I’m sure you’ll appreciate we’re not going to get into specifics in terms of financials for Q3 per month. So we don’t have that data at hand.
Larry Klatzkin - Jefferies & Co.: All right.
Lawrence Ho: Larry. It’s Lawrence here. I think the important thing to note is that Crown Macau has been fully opened for only three to four weeks. And I think August is going to be a significant turn around month for us. And as you said, the trends are definitely heading in the very positive direction. And I think, as what Garry said early on in terms of, August VIP rolling chip turnover that is about the rate that we would have expected, we would get at the end of the year. So it is a significant achievement in our mind.
Larry Klatzkin - Jefferies & Co.: Okay. And are you seeing people starting to -- coming in the town to see the Venetian opening and you may get some flow from that and that you may actually get a benefit towards the end of August, beginning in September as people come to see this new property.
Simon Dewhurst: Yes. I think these are natural proposition that the more people coming into town, the greater the critical mass is generated in Macau. And if you take that another step, the more people heading towards the Taipa location, the greater the impact we expect from outer sectors. So we think that’s positive in addition to the Ferry Terminal that’s opening on Taipa as well. So I think there is some positive signs there. And certainly from a hotel perspective, we know we are fully booked for number of days around that top as well.
Larry Klatzkin - Jefferies & Co.: Okay. As far as junkets go, you said you just got a new junket yesterday, how many more do you anticipate adding?
Garry Saunders: Larry, I would say -- this is Garry Saunders. I would say that a number of that is always in flux. We would probably estimate another two to four over the course of this year. And -- but that’s part of the overall movement in that direction and taking away from some of the mass tables. I think the positive thing on that front is the domain we’re receiving locally from the junket operators to come to Crown Macau. So I think our ability to leverage Ferry table volumes is even greater. So we can look at who is on board and make sure we are continually reassessing the strength of those operations.
Larry Klatzkin - Jefferies & Co.: As far as on these visa restrictions, which I really haven’t seen in effect yet and for the much talked about and then the lessening the restrictions this month, have you seen any indications of visa restrictions at all in your mind and do you see a problem going forward?
Lawrence Ho: Larry, it’s Lawrence here. Our sense is that the restrictions are temporary and so far I think, Greg, can, obviously, comment on that better than I can. But from the statistics that we're looking at, the flow is about the same?
Greg Hawkins: Yeah, it's Greg Hawkins here. We haven’t seen any immediate or obvious impact on both visitation trends, and our volumes coming through the various segments of the business, so to date my view is that the impact has been negligible, and to confirm with Lawrence, Lawrence has suggested, we expect it to be a temporary situation as well.
Larry Klatzkin - Jefferies & Co.: All right, well good, I'm glad to hear that, and I've not heard any operator saying this thing in major affect from either, so maybe much to do but nothing. All right guys, thank you very much.
Greg Hawkins: Thanks, Larry.
Operator: Your next question comes from the line of Mike Warren with Goldman Sachs.
Mike Warren - Goldman Sachs: Thank you. Simon, I was wondering could we get a little bit more color on the syndication. I think the original plan was to raise something like US$2.7 billion, wondering how much of that you anticipate a raise in Asia, and how much in the U.S. if any. And what it means for the overall City Of Dreams Project?
Simon Dewhurst: Yeah, thanks Mike. As I mentioned in my opening remarks, we're working with our Banking Group right now here in Hong Kong. It's the same Group of guys that we're been with for a while. We're finalizing documentation on the Asian tranche, and we're not go into specifics at this stage because we’re in syndication in terms of the absolute size of rep cents of the total piece. And we're confident that it will close in the next couple of weeks. And we're comfortable with the progress. And so, I think that that's pretty much all with the same at this stage.
Mike Warren - Goldman Sachs: And in terms of the City of Dreams itself is it business as usual, or things slowed down there in the light of all this?
Simon Dewhurst: Yeah, thank you, Mike. We're absolutely fine with our liquidity, and it’s business as usual in the development to City of Dreams.
Mike Warren - Goldman Sachs: And Lawrence, once you're on the Macau Peninsula project. There was an announcement a few weeks ago. Wondering if we could get a bit more context on that one in terms of that one being pushed back?
Lawrence Ho: Well, Mike, obviously we've always said that the Macau Peninsula project is a day tripper project. So, when the Individual Traveler Scheme was announced, the time found on that. We obviously, wanted to keep our options open, so we are fully committed to that project. I think we just wanted to phase it out a little bit better. And obviously, there are still conditions president's and government approval that needs to be got, before we can start. So all in all, I think the last question was the Individual Traveler Scheme, so far the impact has been minimal. So obviously that will, if we get more confident in the next few months, I'm sure we will move this faster on that project as well. And I think, one thing maybe Simon didn't clarify is…
Simon Dewhurst: Yeah, Mike, I just want to come back to your earlier question, and just make sure that we're absolutely clear. We don't need US$2.75 billion to complete City of Dreams. That’s the financing that we require for our total pipeline and developments going right out into 2010 that including the Peninsula project.
Mike Warren - Goldman Sachs: Thanks. And one last one, I guess more for Gary on junkets just in terms of trends you're seeing on junket commissions?
Garry Saunders: Currently, deed for us, we are matching the market as far as the junket commissions. And since we’ve been open -- in the short time we've been open, we have not seen any movement in that area yet.
Lawrence Ho: So at this point it’s kind of hard to predict what will happen with future competition. But we so far have seen a stable market.
Mike Warren - Goldman Sachs: Thank you, that’s all from me.
Operator: Your next question comes from the line of Cameron McKnight with J.P. Morgan.
Cameron McKnight - J.P. Morgan: Good morning, guys. A couple of questions if I may. First, just on the financing, are you able to give us some more detail on the exact structure of the bank debt that’s being arranged? And specifically, is there a part of the 2.75 that has run into problem since syndication, or isn't being syndicated at the month?
Simon Dewhurst: Cameron, we're syndicating a portion of it. We’re in syndication here in the Asian bank market. I’m not going to go into any more specifics in relation to that. And it’s the first attempt to syndicate any portion of the facility, and we’re comfortable with progress that we've to date.
Cameron McKnight - J.P. Morgan: Okay. And just secondly on the exchangeable, what stage is the exchangeable at? Has it been placed and issued? And following on from that, when is that expected to commence buying?
Simon Dewhurst: Yeah, this is Simon again. I’m not really in a position to be able to comment much on the exchangeable that’s being issued by our founder companies. But I am of the understanding that it is due to close in the next couple of weeks.
Cameron McKnight - J.P. Morgan: Right. Is Geoff Kleemann able to comment?
Geoff Kleemann: Not more than that Cameron, I mean, we expect to close it in a couple of weeks. Then it will be funded, and it will be up to the SPV to initiate the progress.
Cameron McKnight - J.P. Morgan: Okay, great. And then one final question if I may. Just on the August run rate volumes you gave us in the release. Are you able to give us some direction, as to the percentage of that business is junket originated versus the percentage that’s direct?
Geoff Kleemann: At this point it’s roughly 25%, I think, the volume, 23%, 24%, 25%, is direct. And the rest of that will junket, room operator based.
Greg Hawkins: And the key point, it’s Greg Hawkins, the key point I’ll reinforce there is particularly the direct business and relativity the activation of the hotel and other amenities is a key. So I would plan international business specifically, its been activated relatively recently. So, we’re seeing a strong response expect further growth in that sector in the immediate future.
Cameron McKnight - J.P. Morgan: They must have so, would it be fair to assume that the bulk of that uptake in July and August was due to direct coming online?
Greg Hawkins: Yes.
Cameron McKnight - J.P. Morgan: All right. Thanks very much guys. Operator: Your next question comes from the line of Grant Chum, with UBS.
Grant Chum - UBS: Hi. Good evening. Can you just give us the mass-market drop, as well for Q2 July and so far in August just as you did for the VIP segment, that’s my first question?
Simon Dewhurst: Hey, Grant. Hi, Simon here. We’re not going to go into the specific in terms of our numbers in July and August and on the Q2 Conference Call. We gave the VIP as well.
Grant Chum - UBS: So why do you give, all right.
Simon Dewhurst: But, it’s very clear effect of the trend in that piece of the business.
Grant Chum - UBS: Can you comment on the trend in mass market? Is it pretty stagnant since opening, has it improved dramatically or is it going down?
Simon Dewhurst: No, it's relatively flat.
Grant Chum - UBS: Relatively flat. Okay. And can you give us a sense of the reconfiguration between VIP and mass tables? How many - I mean, what's the scale for the reduction, how many mass tables will you go down there and therefore how many VIP tables we end up with after the reconfiguration?
Simon Dewhurst: We're not going to give specific guidance on that at the moment. What we are doing is working through that right now with some of the operators that we’re in discussion with and looking at the metrics that, how that would affect the property. Just in terms of timetable on that graph you're looking at a phase of work that will extend right out through the end of this current quarter, so its still very much work in progress.
Lawrence Ho: Grant, it's Lawrence here. I think the important thing to note is that the property has been open for three weeks with full amenity, and so far the feedback has been just absolutely phenomenal. And, so I think the decision to position Crown Macau, even back three years ago, as a fixed, or high role casino and hotel was spot on. And therefore we are continuously understanding the market and tweaking the mix between VIP, slot and mass. The guys are upset, we are doing that, as we see, but in terms of the exact, that we will have more information in the next call.
Grant Chum - UBS: And Lawrence, you mentioned that the scale of the marketing cost on the mass side might be able to go down as you reconfigure. Can you give us a sense of well, I mean you can't comment on Q3, but say for Q2, what was the absolute cost associated with marketing for the mass market?
Lawrence Ho: Well, Grant I think Q2 is not representative, because we had a big pre-opening cost, that we had a big pre-opening campaign. We had a big pre-opening party. So I think, the statement about the expenses actually go hand in hand with the reconfiguration obviously, that there is more focus on VIP. You would spend less on advertising the mass. But, I think, more important to note is since the opening and understanding the hyper location, the Crown Macau team have gained a lot of knowledge in terms of piecing up, significantly piecing up surpassing program. So, that in terms of increasing the number of buses and deploying more buses and more popular location and also really making use of our S&P, as they charge for tour and packages so I am sure, we can supplement that even more. So, I think, all in all we've learned, the team has learned quite a bit in this small task and are having good understanding about the location and how we go after the mass market. Even within the mass market you still have a low end and a premium product.
Grant Chum - UBS: Sure, sure. And just final question maybe one for Simon, on the syndicates loan. I mean, in the announcement you made in June, is such that you secured a commitment from a group of banks for $2.75 billion. I mean, can you just clarify that, is there a portion of that is actually already secured or underwritten or is the full amount actually subject to syndication and pricing?
Lawrence Ho: We made the announcement that we’ll perceive the commitment on June the 15th from the group of five banks and we continued to work with them now. And that commitment was subject to documentation and then syndication. We are in that process at the moment and I’ll fully report on details as soon as that is complete.
Grant Chum - UBS: Okay. Thanks.
Lawrence Ho: Thanks.
Operator: Your next question comes from the line of Waheed Shanith with Janus.
Waheed Shanith - Janus: Hi guys. Two questions. First one is relatively easy it's on the type of Ferry, if you can give us an update on that and the sunset, when it opens, what exactly happens, I mean, do we see an uptick in traffic, how you’re positioning for that in advance? And the second question is for Lawrence, which I’ll follow-up in a second from the board composition?
Greg Hawkins: In my suites understanding is they thought that Ferry is projected towards in Q4, this current year. From a Crown Macau perspective, we would expect a positive flow on by nature of its positioning means location relative to our property. And certainly the inbound and bulk of inbound into that Ferry terminal is from a Hong Kong based market, which we consider one which directly correlates to that ongoing premium position from a mass market perspective. So our strategy is, we’re not getting to two months free trial or obviously statistical transportation, so our property from that location as well as transportation, bus stand advertising aspects so that’s the situation from a Ferry point of view.
Waheed Shanith - Janus: Great. And Lawrence, just -- I mean it’s a follow-up to previous conservation. So, if you can just recap exactly how your board is compulsive? I know it's 50-50. Melco people and PBL folks, but I guess the question is, it seems very aligned with the parent companies. And I'm wondering exactly what happens if you know A, another suite wanted to come in. Two, one company wanted to buy the other, because right now you have all these clauses, that’s say, you know what you guys have to buy at the same time, you guys have to sell at the same time. Obviously it can be quite restrictive. And then we are focusing all on this credit issue, and then with the $800 million, we can just wipe out MPEL, which frankly one would argue, does not really need to exist and you can go back to the old model, which was a lot better and we don't have to worry about credit, because you have a lot more flexibility with the parent companies. Then I guess last point, I wanted to make if you could reflect on is, what is worst-case scenario? So okay, we don't get if something massively bad happens in the credit markets and nothing can be done, what exactly then happens, I mean with vis-à-vis the parent companies?
Lawrence Ho: Waheed, I think there are quite a number of questions in there. I think first of all on the board composition, we do have four independent directors and the four independent directors have very strong background. So, some of them are Former of Stock Exchange, ex-CEOs. We have a former gaming CFO, so we have a very in our view -- forget about that -- besides from Melco and PBL Directors, we have a very strong board now of individuals. In terms of your question about the potential like a buyout of MPEL, I think, I am varying obviously a MPEL path and from the management and also on the board level of MPEL, if hypothetically, there was an old thought to buyout MPEL obviously all beauty into act is in the best interest of MPEL shareholders. And if there was an offer that was amazing, I’m sure the Board of Directors and the management would recommend it to our shareholders to accept an offer. Having said that that will be up to the shareholders, including you, PBL and Melco to decide whether it is an appropriate offer or not? So, and in terms of what you asked about, worst-case scenario about the financing. I think the beauty of having strong shareholders is the fact that we share a common vision. I think the statistics coming out of Macau are phenomenal in terms of trading results, and we are confident that Crown Macau is getting better everyday. And, therefore, we share a common vision. We are bullish about that vision. And in a worst-case scenario the strong shareholders are there to support MPEL.
Waheed Shanith - Janus: Great. Thank you.
Operator: Your next question comes from the line of Paul Connors (ph) with Florida International Investors.
Paul Connors - Florida International Investors: Yeah. Good morning gentlemen. I have just two questions for you. One, I'm not sure, if you do this or not, but do you have any kind of indication or numbers about your customer base as far as the increase per table since opening? I know its only three or four weeks, Lawrence, but you can probably tell if your clients are increasing or statistical are you opening new tables every day, can you give me some guidance on how that’s going?
Lawrence Ho: Paul, just by the nature of the volumes statistics that we shared earlier we’re doing more volume from more customers. And that includes also the loyalty of certain customers that are coming back with deep hesitation, which is a very important part of building a good solid base of business.
Paul Connors - Florida International Investors: Okay. And second, I don’t know if you can, can you just go over your earnings second quarter, again, I'm a little confused with some of the numbers that were given out? Sorry, I didn’t mean to catch you off guard.
Lawrence Ho: No, we’re shuffling pages here.
Paul Connors - Florida International Investors: Yeah, I'm sure.
Lawrence Ho: Paul, I’ll tell you what we’ll do. We’ll take the next question, and we’ll come back and answer that one after the next question.
Paul Connors - Florida International Investors: It sounds fair.
Operator: I apologize Mr. Connors your line is open.
Paul Connors - Florida International Investors: Yes, I am sorry. I'm a little confused, are you going to get back to me on that or...
Simon Dewhurst: Yes, sorry operator, can you move on to question from Anil Daswani. And then after I answer Anil’s question I’ll then come back, and I’ll finish the Connors's question. Thanks.
Paul Connors - Florida International Investors: Thank you.
Operator: Thank you. Anil Daswani from Citigroup.
Anil Daswani - Citigroup: Hi. I have a couple of questions. Firstly, could you guys give us a status report as to the number of junkets that were actually in operation in the month of June, I guess is all you’re going to be able to comment on? At the Crown Macau what’s your target is for the number of junkets by yearend, and if you can, can you give us any guidance with regards to what sort of revenue commitments these junkets have actually provided? May be let’s start with that question first, please?
Lawrence Ho: At that time we had four fixed junket arrangements in place and activating. That number is growing to six, which are currently operating in the property with regards to the forward projection on that. I think we referred to what Gary referred to probably the potential for three or four more. As we’ve indicated previously, this is all about optimizing available meet reach on the floor. So we’d look at the title allocations, which will ultimately dictate by how many junkets we have across the course over the next couple of quarters.
Anil Daswani - Citigroup: Okay. And you think and then you can give us with regards to what type of commitments they’ve given you to retain the rooms in terms of the junket operators?
Lawrence Ho: We certainly don’t get into the specifics of the contract that the model is built on delivering minimum roll amounts per month, and if that’s not achieved we have the ability to take actions with regards to that and that’s the Gary is focused on the optimization aspect of the contract.
Anil Daswani - Citigroup: Okay. My second question is with regards to the number Lawrence quoted earlier on. He mentioned that in August, so far the run rate looks like you guys are going to do 7% of the market at the Crown. Can I just clarify, is that 7% purely at the Crown and is Mocha as separate as an additional 1% or so, so, Melco PBL currently has 8% in the month of August or is it just the 7% including Mocha?
Simon Dewhurst: Yeah. This is Simon here. Anil that is correct, 7% is just to Crown Macau.
Anil Daswani - Citigroup: Okay. In that case, can you give us some guidance as to what Mocha is looking like; is that still at the 1% type mark?
Simon Dewhurst: Yeah, I don’t know it’s about 1%.
Anil Daswani - Citigroup: Okay.
Simon Dewhurst: Eventually, I don’t know.
Anil Daswani - Citigroup: That’s all the questions for me.
Simon Dewhurst: Okay. Just before we move on to Mr. Connors's question, a quick recap on some of that financials for the third quarter and, for the second quarter, I apologize. Three months ended 30th of June, net revenues were $45 million.
Lawrence Ho: No, no, no.
Simon Dewhurst: Can we talk -- can you cut that line up please, operator. The net revenues in the three months ended 30th of June is US$45.1 million, the adjusted EBITDA, as set out in our press release with a loss of US$14.9 million. The net loss for the quarter was a loss of US$69.2 million, which equated to a loss per share of $5.07. Okay. We’ll take the next call now, please operator from Mr. Montgomery.
Operator: Yes. Your next question does come from a line of Mr. Edward Montgomery with Goldman Sachs.
Edward Montgomery - Goldman Sachs: Thank you. Just in terms of your marketing expenditure outlook and your capital expenditure outlook, are they, I know you noted that your marketing expenditure was a bit more than management forecast. But, can you give a bit more color, in terms of what you’re foreseeing in that growth going forward and do you see any mid tier upside in terms of marketing expenditure, and also your capital expenditure?
Lawrence Ho: I think, from a marketing point of view, we would expect a controlled management downward in that total expenditure cost of business in the next couple of quarters. And that would be purely on the back of the optimization of flow mix and the split between BRT and mass and the consolidation amount, far more focused approach to mass. The BRT business obviously from a commission perspective, those commissions are being paid to support the marketing aspects of those junket side. At last, we'll see that moving forward.
Simon Dewhurst: This is Simon Dewhurst. Just in terms of our CapEx spend looking forward, it's principally City of Dreams. We pronounced some detailed CapEx budget from City of Dreams in the middle of June. And I’m pleased to report that at this stage we continue to remain on timetable and on budget on those numbers.
Edward Montgomery - Goldman Sachs: Okay. Thank you.
Lawrence Ho: We opened here some market that doesn’t make any sense.
Operator: Your next question comes from the line of Robin Farley with UBS.
Robin Farley - UBS: Thanks. Have I heard hotel occupancy in August is under 50% and that was I guess if the hotel is full and been running. Are your new junket program is going to get that to full occupancy by the end of this month and I guess, clearly lot more rooms in the market by the end of the month overall? So I wonder if you could just give us some more color on your strategy here? And operator, can you please mute my line just to reduce the background noise on my end? Thanks.
Greg Hawkins: Yes. It's Greg Hawkins. I think the key for our hotel point of view is it has and recently it been activated for about three weeks. The leading timeframes for size of the hotel rooms have been activated into some extent take a short while to build a positive, for example is that our hotel is a 100% full tonight and tomorrow night. You are right with the potential activation more junket business and the complementary expenditure into the property we would expect that to flow strongly into occupancy and utilization aspects of the hotel in the future course.
Lawrence Ho: Robin, I don’t know if you’ve got a follow-up question or whether we’ll move on to the next one? Okay. We’ll move…
Robin Farley - UBS: Okay…
Lawrence Ho: Yeah, sorry, Robin go ahead.
Robin Farley - UBS: I don’t know if you allows me, but I wanted to just, given the number of hotel rooms opening in the markets at the end of the month, you still expect to, in other words are you going to be ramping up to full occupancy, as part of your strategy even given the junket hotel rooms in the market?
Lawrence Ho: We are generally confident about that. Our hotel room inventory is 216 rooms, and the positioning of the property is at the very top end of the market. So again that alignment of the brand and the hotel and the target markets, we are confident that all goes well for the hotel occupancy, even with the supply coming on board, its a different focus we are looking at.
Robin Farley - UBS: Thanks.
Operator: Your next question comes from the line of Larry Gandler with Credit Suisse.
Larry Gandler - Credit Suisse: Hi, guys. It's Larry Gandler from Credit Suisse. Couple of questions. First question is on staffing. Are you guys comfortable with the level of staffing at Crown Macau, and can you give us an indication of that, how the staffing progress is for City of Dreams?
Greg Hawkins: It's Greg Hawkins here. From a Crown Macau point of view, we are very comfortable, we recruited positively and had a very positive response from the market to work at our property and the positioning of such has appealed locally, lot most openings, we had a marginal over high percentage and infected in some attrition to recruit post opening and that’s progressing on the numbers based to budget. We expect with the mix of business moving forward that the numbers we currently have in the property across gaming and non-gaming areas, is about lot relative to existing demand and what we are forecasting moving forward.
Larry Gandler - Credit Suisse: So, it's fair to say coming into may be third, fourth and may be FY '08 staff numbers might be lower in Crown Macau?
Greg Hawkins: Yeah, I think that’s a reasonable proposition based on productivity gains across the board and the property.
Larry Gandler - Credit Suisse: Okay. Great.
Greg Hawkins: Yeah, for City of Dreams the staffing there, the side from obviously, the design and the construction side, which is fully staffed up. We have some of the front-end part of our management team that’s in place right now working with the design side. The bigger part of the planning right now is going into the development of exactly the timing and the types of positions, and when we actually and what our whole recruiting process strategy will be that’s currently underdevelopment.
Larry Gandler - Credit Suisse: Okay. Any concerned about wage rates, naturally there is some inflation there, but are they moving at a rate that’s alarming you?
Greg Hawkins: Wage pressures are certainly something that had affected margins over the last couple years in Macau. And typically the fear has been that, you're not going to be able to get enough employees, how we get enough employees, and magically we do get enough employees every time a property opens. The government has a system where they protect the local labor market, but at the same time they're not going to let these types of investments fail, we're very confident of that. And we normally find that when you open a project like this, you will be able to manage to get the staffing that you need.
Larry Gandler - Credit Suisse: Okay, great. Simon next question if I can, sorry to labor the point about the financing. With regards to the last announcement on the bank financing, there was a final statement that says, we have successfully secured all capital resources necessary to build Melco PBL, into a leading gaming company. There is no statement about subject to syndication and financing now, perhaps I need to kick myself, I'm not following through on the first announcement, to see if there were any conditions. But post syndication and documentation, I am going to ask the question this time around. Are there any important conditions that we as owners of PBL and MPEL need to be aware of, with regards to that financing any market, market break conditions or anything of that nature?
Simon Dewhurst: When we complete documentation. We will make a full announcement at that time, and that announcement will set out returns as expressed in that documentation. And I'm sure that we're very clear indeed of that stage. And we're happy to answer any questions at that point in time.
Larry Gandler - Credit Suisse: Okay fine. Thanks.
Simon Dewhurst: Thanks.
Larry Gandler - Credit Suisse: That’s it from me guys. Thanks.
Simon Dewhurst: Thanks a lot.
Operator: Your next question is a follow-up from the line of Larry Klatzkin with Jefferies.
Larry Klatzkin - Jefferies & Co.: Hey, guys. A couple of more questions, the City of Dreams, you guys just have acquired, you said the budgets unchanged from your last comment?
Simon Dewhurst: Yeah. No changes on budget at City of Dreams.
Larry Klatzkin - Jefferies & Co.: Okay. As far as the apartment sales, with the start of that and for City of Dreams and what are your expectations, how is sales prices holding up in the market?
Simon Dewhurst: We do not have a fixed date yet, in terms of how we’re going to drop this into the marketplace. We're still working on that strategy. We still have plenty of time, prior to the delivery of the product. And yes, we’re seeing that the prices in the marketplace continue to hold up very strongly. And so, we’re very optimistic about this product.
Larry Klatzkin - Jefferies & Co.: Okay. And the last question is, PBL's involvement on two projects of Vegas Strip, and one they're even using the Crown name, and how is that going to fit in with you guys, is there going to be some cross linkage, or any change that this company gets a little bit involved. Could you talk about that?
Lawrence Ho: Well Larry, it's Lawrence here. I think, obviously the more that the Crown brand is out there in the world, the more synergies that it will bring to Macau. So, and I think naturally the Crown International Network will pick up more, and this is my personal take. We'll pick up more players globally, and obviously, we will derive a lot of benefits out of that. When they drive the traffic into Macau.
Larry Klatzkin - Jefferies & Co.: So, there’s no -- you guys are having no involvement, and there will be no start up marketing the two Crown names together at all?
Lawrence Ho: That would be cross marketing opportunities that we’ll be able to explore it. We do that right now between our property here in Macau and in Australia. So, there’s no reason to believe if there were two, three, five, ten properties that has Crown brands on it, that we’d be able to do that.
Larry Klatzkin - Jefferies & Co.: All right. Great. Thanks, guys.
Lawrence Ho: Thanks.
Simon Dewhurst: Thank you.
Operator: Your next question is a follow-up from the line of Waheed Shanith with Janus.
Waheed Shanith - Janus: Hey, guys. I’ll make this quick, but I feel that you guys are unfairly being cornered on this credit issue given, what limited you could actually say on the subjects to documentation. So, let me ask this. Lawrence, would you be very surprised if your plans would have to change in the month?
Lawrence Ho: Well, Waheed, we’re right on progress. I think, Simon has said that earlier on. So, it’s things as usual. City of Dreams is coming, and if you were in Macau, most people would say that it’s coming out of the ground very nicely. And so, the construction progresses is ongoing and it has been a very smooth construction program. And as we’ve always said, we think we have one of the best builders and license, so it’s business as usual.
Waheed Shanith - Janus: Okay. But, I mean do the banks take solace in your position and PBL’s position, talking about the parent companies? I mean, we keep talking about all these clauses and given the fact that you guys can’t speak about much right now. Given the sensitivity of the syndication, we’re just sort of in a circle like well, what happens, what happens, what happens. And so, I guess my question is, would you be surprised if, given the positioning of the parent company is, vis-à-vis the banks and other areas of business, if something material would happen?
Simon Dewhurst: I think Waheed, this is Simon. And it’s in a normal course of process. So you receive a commitment you then go to documentation and you then go to syndication. We syndicated in the Asian trial, made comments to the fact that the markets here in Asia are open. We’re going through that process in the normal course, and we don’t, at this stage, see or anticipate anything different from completing that exercise during the course of the next two weeks. If anything changes, we’ll talk to the market.
Waheed Shanith - Janus: Great. Thanks.
Operator: And there are no further questions. I’ll now turn the call back over to Mr. Dewhurst for closing remarks.
Simon Dewhurst: Okay. Well, thank you very much and we look forward to our third quarterly call in a few months time.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.